Sarah Cook: Please go ahead. Thank you, and welcome to our fourth quarter and full year 2024 earnings call. I am Sarah Cook, Vice President of Investor Relations. Presenting with me today are Jeffrey Niew, our President and CEO, and John Anderson, our Senior Vice President and CFO. Our call today will include remarks about future expectations, plans, and prospects for Knowles Corporation, which constitute forward-looking statements for purposes of the safe harbor provisions under applicable federal securities laws. Forward-looking statements in this call will include comments about demand for company products, anticipated trends in company sales, expenses, and profits, and involve a number of risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties in the company's SEC filings, including, but not limited to, the annual report on Form 10-K for the fiscal year ended December 31, 2024, and periodic reports filed from time to time with the SEC. The risks and uncertainties identified in today's earnings release. All forward-looking statements are made as of the date of this call, and Knowles Corporation disclaims any duty to update such statements except as required by law. In addition, privileges to Rybji any non-GAAP financial measures referenced during today's conference call can be found in our press release posted at our website knowles.com and in our current report on Form 8-K filed today with the SEC. This will include a reconciliation to the most directly comparable GAAP measure. All financial references on this call will be in a non-GAAP continuing operations basis unless otherwise indicated. We have made selected financial information available in the webcast, which can be found in the investor relations section of our website. With that, let me turn the call over to Jeffrey Niew, who will provide details on our results.
Jeffrey Niew: Thanks, Sarah. And thanks to all of you for joining us today. For the prepared remarks, we will provide our normal commentary on Q4 results as well as what we are seeing in our markets for Q1 and beyond. I will also summarize some highlights in 2024, turn the call over to John Anderson to provide financial details on Q4, and guidance for Q1, and then close with some exciting things we have going on that give us confidence in 2025 being another year of revenue and EPS growth with continued strong cash flow. I think it is also important to note that with the completion of the sale of the consumer MEMS microphone business in late 2024, there is a significant amount of historical financial information being released for our continuing operations in both the 10-Ks as well as the supplemental slides associated with this call. This is the first time we have been providing this information, and it demonstrates the revenue and earnings growth of our business. Now turning to results. For the fourth quarter, revenue of $143 million was within the guided range. Non-GAAP diluted EPS of $0.27 was also within the guided range, and we delivered cash from operations of $35 million inclusive of CMM. The revenue and earnings shortfall to the midpoint in Q4 was driven entirely by challenges in a plant consolidation and ramping production of new products within our specialty film capacitor line, not from a lack of shippable orders. I will provide more detail on these challenges in my commentary within the precision device section. For the full year, on a continuing operations basis, revenue grew 21% and non-GAAP diluted EPS grew 32% from 2023 levels driven by strength in MedTech and specialty audio, the addition of film, mica, and electrolytic capacitors from Cornell to our product portfolio. Now for our segments. In Q4, MedTech and specialty audio revenue grew 9% sequentially and was flat on a year-over-year basis. 2024 revenues grew by 8% and adjusted EBIT by 13% from 2023 levels. By partnering with our customers to create innovative solutions, enhancing the performance of their products, we continue to drive growth. This coupled with our ability to leverage our fixed overhead drove adjusted EBIT growth. I continue to be very excited about the opportunities we have in the MSA segment ahead of us and expect another year of growth in 2025 as we continue to introduce new innovative customer solutions to our customers and be a world-class manufacturer of these products. We are also beginning to see new opportunities to accelerate growth beyond 2025 by leveraging core competencies in medical markets, and we will share more on this later this year as we close new design wins. In the Precision Device segment, Q4 revenues grew 4% year over year. As I stated earlier, challenges with shipments in specialty film capacitor products resulted in a greater than $3 million shortfall in our shipment plans. There were two causes. First, as part of our synergies from the acquisition of Cornell, we were consolidating facilities for specialty film to improve margins. Even though the production transfer was completed in Q4, it took longer than expected and resulted in shipment challenges. With delays in production transfers and the order book in specialty film consisting of numerous new custom products ramping at once, we fell short of our shipment targets. Shipments are expected to improve throughout the first half of 2025. I have confidence in the team to resolve the production challenges, and I am very excited about the demand we have for these custom specialty film products. We expect this product category to drive meaningful growth in 2025 in VM. What gives me confidence in significant growth of this product line is all the new customers and products that are coming to market and one in particular that will drive significant growth in 2026. We received an order this month for more than $75 million with a sizable prepayment for a new customer in the energy sector. We expect at least $25 million of this order to ship in 2026. We will provide additional details about this exciting work and the rest of the opportunities ahead of us throughout 2025. For the rest of the precision device segment, revenue was in line with expectations. In Q4, PD demonstrated a noticeable acceleration in orders from Q3, driven by medical and defense, with both markets having their strongest bookings quarter of the year. It is noteworthy that our distribution book-to-bill trend was positive in Q4 as we are finally seeing signs of abatement of excess sales inventory in the industrial end markets. For precision devices, on a full-year basis, revenue grew 36% compared to 2023, as our capacity portfolio expanded with the addition of Cornell. An additional 2024 highlight, which John will go into more detail about, is our cash from operations. Our continued robust cash generation coupled with our strong balance sheet gives us optionality of capitalizing on M&A opportunities and returning capital through share buybacks. The board continues to be supportive of our share buyback program, authorizing an additional $150 million in capacity to repurchase stock. Before moving on, I would like to touch on the fluid tariff situation we are all hearing so much about. First, the sale of CMM significantly reduced as well as our exposure to the China markets. On a continuing operation basis in 2024, approximately 5% of revenue could be subject to tariffs on importing goods from either China or Mexico. While the exposure, as we understand today, is limited, we will continue to explore alternatives to mitigate the impact of these tariffs. Now let me turn the call over to John Anderson to detail our quarterly results and provide Q1's guidance. After hearing from John, I will share my thoughts on 2025 and beyond.
John Anderson: Thanks, Jeff. We reported fourth quarter revenues of $143 million, up 2% from the year-ago period and within our guidance range. EPS was $0.27 in the quarter, up $0.05 or 23% from Q4 of 2023, also within our guidance range. In the MedTech, Specialty Audio segment, Q4 revenue was $70 million, flat compared with the year-ago period. On a full-year basis, revenue in the MedTech and specialty audio segment increased by 8% over prior year levels, driven by increased shipments into the hearing health market. Q4 gross margins were 51.4%, down 130 basis points versus the year-ago period, driven by lower average pricing on mature products and higher factory costs. The Precision Devices segment delivered fourth quarter revenues of $73 million, up 4% from the year-ago period. Shipments of high-performance capacitors due to a slower than expected ramp-up of our specialty film product line, as Jeff noted, have a strong backlog for this product line, and we expect production output to increase throughout the first half of the year, driving a return to total company revenue and earnings growth beginning in the second quarter. Segment gross margins were 38%, up 240 basis points from the fourth quarter of 2023, as factory productivity improvements in our legacy precision device business were partially offset by higher scrap costs and production inefficiencies as we ramp up specialty film product lines. On a total company basis, R&D expense in the quarter was $9 million, up $1 million from Q4 of 2023, driven by increased investments in both the MedTech and specialty audio and precision device segments. SG&A expenses were $26 million, up $1 million from prior year levels, driven by higher incentive compensation costs. Interest expense was $3 million in the quarter and flat with the prior year. Now I will turn to our balance sheet and cash flow. In the fourth quarter, we generated $35 million in cash from operating activities at the midpoint of our guidance. For the full year 2024, we generated cash from operating activities of $130 million. Note that cash from operations for the three and twelve months ended December 31 includes $2 million and $24 million, respectively, generated by the consumer MEMS microphone business. Capital spending was $3 million in the quarter. During the fourth quarter, we repurchased 1.3 million shares at a total cost of $24 million and reduced our debt balance by $23 million. We exited the quarter with cash of $130 million and $203 million of debt that includes borrowings under our revolving credit facility and an interest-free seller note issued in connection with the Cornell acquisition. Lastly, our net leverage ratio based on trailing twelve months adjusted EBITDA was 0.6 times. For the full year, we repurchased 3 million shares at a total cost of $54 million. In addition, the board of directors recently authorized a $150 million increase to our stock purchase plan. Moving to our guidance. For the first quarter of 2025, revenues are expected to be between $124 million and $134 million. R&D expenses are expected to be between $8 million and $9 million. Selling and administrative expenses are expected to be within the range of $23 million to $25 million, down $2 million year over year on actions taken to reduce our fixed costs. In order to support the needs of our continuing operations, we are projecting adjusted EBIT margin for the quarter to be within a range of 16% to 18%. Interest expense in Q1 is estimated at $2 million to $3 million and includes non-cash imputed interest, and we expect an effective tax rate of 13% to 17%. We are projecting EPS to be within a range of $0.16 to $0.20 per share. This assumes weighted average shares outstanding during the quarter of 91 million on a fully diluted basis. We are projecting cash utilized in operating activities to be within the range of $15 million to $5 million, and capital spending is expected to be $4 million. Cash used in operating activities includes $12 million to settle supplier obligations related to the consumer MEMS microphone business. We expect an additional payment of $12 million in Q2. These payments represent substantially all remaining supplier obligations related to the CMM business. In conclusion, based on recent order trends and existing backlog, we expect to resume year-over-year revenue and earnings growth beginning in the second quarter of this year and expect to deliver operating cash flow of more than 15% of revenues from continuing operations for the full year 2025. I will now turn this call back over to Jeffrey Niew to share his thoughts on 2025 and beyond.
Jeffrey Niew: Thanks, John. Now let me close with some thoughts on the strategic positioning of the company. As I look forward, design activities have never been higher for the company. We have a healthy pipeline of new opportunities ramping into production in 2025 across our end markets. Starting with MedTech, the end market for hearing health products remains strong. Our MSA business is expanding the product offering to our customers, positioning them for continued growth. In the defense market, our high-performance capacitor business is seeing orders for new and expanding programs. Demand for our specialty film capacitors is high, with shipments and orders for these products expecting significant growth through 2025. With this new $75 million plus order in the energy sector, we expect even further acceleration of growth in 2026. As our operation teams increase the output and customer deliveries in specialty film, we expect to see growth in both industrial and energy markets in 2025. Further, we believe the industrial end markets have stabilized as inventory levels within our distribution partners have started to decline. Based on all the activities we are experiencing, I am confident in our ability to grow revenue and profitability again in 2025. We ended 2024 with the sale of the consumer MEMS microphone business closing in late December. The sale culminates a strategic transformation we have been embarking on for a number of years. We strengthened our balance sheet, invested in our core businesses where we have higher completed an acquisition that expanded our portfolio and our service market and provided new growth vectors. Lastly, we returned capital to shareholders through stock buybacks. Knowles Corporation has been built on several pillars that guided us through this transformation and will guide us as we move forward. First, through deep engineering and customer application expertise, our high-performance technologies drive us as we create new products that solve difficult problems in the real world. Second, after we customize these technologies to create solutions, we leverage our world-class manufacturing operations to be a trusted high-quality supplier through a blue-chip set of customers. Finally, we use our expertise to serve niche applications within large growing markets such as MedTech, defense, industrial electric application, and energy. These fundamental pillars create value for our organization, our customers, and our shareholders. For continued operations, we achieved a revenue CAGR of 12% over the past five years, through a combination of organic growth and acquisitions, as presented on slide nine in the supplemental materials today. Our ability to differentiate our products coupled with our ability to leverage overhead allows us to achieve adjusted EBITDA CAGR of 36% over the same period. I am excited about the progress we have made to date and our future. I look forward to our investor forum, which we expect to host in Q2 of this year. There, I will go into further detail on our strategy and plans for future growth. Now let me turn the call over to the operator for the Q&A session. Operator?
Operator: Thank you. We will now begin the question and answer session. Press the keypad to raise your hand and join the queue.
Anthony Stoss: We will take our first question from Anthony Stoss at Craig Hallum. Hey, guys. Jeff, a couple of questions. I just wanted to focus in on you commented about pricing pressure. Is it in a particular segment or is it across kind of all the product lines? And then maybe for John, in terms of the inventory, I know you said it is starting to come down, but maybe you can give us a sense of how many months it still is, and then I have one or two others.
Jeffrey Niew: Yeah. So first on pricing pressure, you know, I would sit there and say, generally speaking, the precision device segment, I would say pricing net-net is a positive. I think we talked about, you know, the Cornell acquisition, how, you know, we have got about $5 to $6 million of pricing increase in 2024. You know, I would expect that we would probably have maybe in the neighborhood of $2 to $3 million in 2025. The rest of Precision Devices, I would say, net-net price is positive. I would sit there and say there has been a little bit more pressure in the MSA business on pricing. Nothing that gets me overly worried. It is mainly on mature products. It is not about new products. It is really about product mix. And so I think we still are very confident that the MSA business, you know, will be north of 50% gross margin going forward, just as it has been in the past. On the inventory, you know, I think here is what I would say. When we look back last quarter, I kind of talked about there being about six months worth of inventory at the end of Q3 in the inventory in the distribution channel. We think that number has come now down at the end of Q4, down to about four to four and a half. And what I would say is, we had a pretty strong bookings quarter in Q4. Our bookings accelerated quite a bit in Q4 in the precision device segment. And you are looking at our flash reports already for Q1. January was also very strong in bookings as well, and that goes across not just distribution, but also within with our direct OEM customers. So that is what is, you know, honestly giving us quite a bit of confidence, you know, in full year 2025 being another year of growth.
John Anderson: Yeah. Tony, in terms of inventory, just to clarify, Jeff is referencing the inventory at our customers, either distributors or OEMs versus our inventory. Our inventory is at a pretty normalized level.
Jeffrey Niew: Yeah. And I guess what I would say is, you know, again, six months at the end of Q3, four to four and a half months at the end of Q4. We need to see it be below three months is where we have been needs to be. And so, you know, we will see where it ends at the end of this quarter. I guess what gives me optimism, we are seeing a lot more orders from distribution that we were not seeing in Q3, came in Q4, and actually already into January. We are seeing some pretty strong orders.
Anthony Stoss: Okay. And then just two follow-ups. Jeff made a comment that on the specialty film, that you have confidence that they will get this fixed. Is it still ongoing? Is it another month or two, or how long do you think before that is fixed? And then maybe, John, can you just remind us what the consumer business did on an annual revenue basis?
Jeffrey Niew: So the specialty film business, we are definitely going to see sequential improvement in output, but it is not yet in Q1 where we want it to be. I think it is probably going to take us, you know, fully into the second quarter, near the end of the first half, in order to really start catching up. I mean, that is, I think, where we are at. But I think what the real positive here is, Tony, is we have a big backlog of orders per shipment already in 2025. This is a, you know, really exciting area for us in terms of applications, especially in the film area. And I think what also gives us, you know, really excited about is, as we called it out in the press release, is, you know, we got a $75 million plus order already in Q1. You know, it does not start shipments until 2026. But this is a real order. We got a pretty significant and millions of dollars prepayment to start ramping this up. This is going to be a very big product line for us going forward, and we will talk more about it as we get, you know, closer to the shipment dates.
John Anderson: Yeah. Tony, in response to your question on the CMM revenues, for the period January 2024 through December 27 when we closed, roughly $260 million.
Anthony Stoss: Got it. Thanks, guys. Appreciate it.
Operator: Once again, if you have a question, press star one. We will go next to Bob Labick at CJS Securities.
Bob Labick: Hi. Good afternoon. Thanks for taking our questions.
Jeffrey Niew: Hey, Bob.
Bob Labick: Hey. So looking at, you know, we will call it Knowles Corporation 2.0, we estimate maybe, you know, 40% of revenue is going to come from MedTech, 40% industrial, and 20% defense. But industrial is the harder one to break down. Can you give us a sense of the biggest end markets there and the trends, you know, kind of across those?
Jeffrey Niew: Yeah. Bob, I think you kind of see this. This is kind of like the story of it is a lot of the distribution business. Right? And you know, where we, you know, we estimate that we ship it in on an annual basis to, you know, north of 30,000 customers. I think one of the beauties of this market is just we do not really have reliance, and that is part of, you know, areas where we think because we have so many smaller customers, we have a pretty unique opportunity here to continue to look at, you know, strategic pricing in this area. What I would say again, kind of what I said, you know, earlier is we are starting to see a stabilization. And if I look at our industrial slash distribution business, you know, I think we believe, you know, right now, what we see is we have kind of hit the bottom on that, and we are starting to rise sequentially in Q1. You know, not the extent yet where we want to be yet, but the bookings trend is in the right direction. And I think that is what we are kind of looking at, Bob. And so it is really hard. I think we can, you know, kind of lay out a lot of these different markets, but there is no one market that really is very, very large for us in the industrial sector.
John Anderson: Yeah. I would say a couple of areas that we play in are automation areas, HVAC areas, downhole pumps in the energy, but semiconductor equipment, there is semiconductor equipment. I mean, there are a lot of markets in here. I mean, like, not just, like, two or three. There are quite a few markets worth.
Bob Labick: Okay. Great. And then, obviously, you mentioned the new special film products and the impact on the quarter and whatnot. Maybe give us a little more color on that product, you know, what area is that going to be sold in. And then R&D investments in general. Obviously, if you are rolling out new products, we should see some acceleration in growth going forward as you have talked about. So give us a sense of what the R&D and innovation is being spent on.
Jeffrey Niew: Yeah. So, I mean, I think what we have a core capability in the specialty film area, we have a core capability. And the applications that we are selling into are what we call pulse power applications. It is applications that require a significant amount of energy in a very, very short period of time. And what they are doing is this application is buying a lot of capacitors, fully charging them, and then releasing the energy all at once. It is a very unique capability that we have, and we are ramping this up. You know, again, I feel very confident about, you know, the shipments from this order. Starting in 2026, we will be ramping this up. But you can kind of see, you know, that right now, we are ramping up for a whole bunch of smaller customers, and then we have this one big customer who is going to drive a lot of growth in 2026.
Bob Labick: Got it. Okay. Great. Thank you very much.
Operator: And that concludes the question and answer session. Thank you for your participation in today's conference. You may now disconnect.